Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Nabors Industries' Second Quarter 2011 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Wednesday, July 27, 2011. I would now like to turn the conference over to our host, Mr. Dennis Smith, Director of Corporate Development. Please go ahead, sir.
Dennis Smith: Thank you, operator. Good morning, everybody, and thank you for joining us for our second quarter earnings conference call. With us today, in addition to Gene Isenberg, our Chairman and CEO; and myself, is Tony Petrello, our President and Chief Operating Officer; Clark Wood, our Principal Financial Officer; and Laura Doerre, our General Counsel; and every business unit head that we have so is here with us as well. We'll follow our customary format where Gene will give some overview remarks on the quarter and some comments about the outlook and how we see things and then we'll open it up for Q&A. We'll limit the call to approximately 1 hour and wind it up at that time. I just want to remind everybody that since we're discussing the outlook and this constitutes forward-looking statements and as such are subject to those provisions of the Securities and Exchange laws. With that, I'll turn it over to Gene.
Eugene Isenberg: Thanks. Welcome again everybody to the conference call for the second quarter. I want to thank everybody for participating this morning. As usual, we have posted to the Nabors' website a series of slides that contain details about performance of the various segments of the company. Please refer to these as we proceed. Our second quarter results came in slightly better than we had indicated in our pre-release, primarily on the strength of our North American operations. We achieved significant improvement in our U.S. Land Drilling business and in Nabors Well Services and better-than-expected results in both Canada and Alaska during what is essentially a seasonally low period for those 2 units. While results in our International operations were somewhat disappointing, they were completely in line with expectations and also flat to the first quarter. Results in our Pressure Pumping operations were short of expectations for the full quarter but improved significantly in the month of June, and the shortfall prior to that was really de facto investing to Europe. Net income of $68.1 million and earnings per share of $0.23 reflected a significantly higher tax rate due to lower contributions from our International – proportionally though, contributions from our International operation and obviously more income from the U.S. higher taxed operations with the North American wells. It also reflected higher expenses and other items. Income from discontinued operations was $128.4 million (sic) [ $123.9 million ], reflecting the sale of our Colombia E&P operations. Total proceeds from those sales will be around $250 million, yielding a gain of around $129 million. While that's discontinued and others are nonrecurring, from our viewpoint, it's all income and we don't -- we take it in a way that maximizes it to the company and not worrying about what's recurring, nonrecurring, discontinued and all that stuff. From my viewpoint, it fits our earnings. Our financial position and balance sheet remains strong. During the quarter, we gained approximately $1.4 billion in convertible notes that we obviously had been anticipating for quite a while. This was funded by a combination of cash on hand, the E&P proceeds and a partial drawdown of our $1.4 billion revolver, which is pretty low cost LIBOR plus 1.5. Bottom line is we reduced our debt by approximately $200 million and still managed to fund approximately $670 million in capital expenditures during the quarter. Now let's turn to the units. Nabors Drilling USA results in terms of operating income for the US Land operations were $99-plus a little million. That was up approximately $19 million over the first quarter. $7 million of this income resulted from lump sum payments for early termination of rig contract. The rigs involved in those transactions have since been put to work on new contracts. Results for the balance of the quarter were attributable to rig count, up approximately 6 rigs to 194, and today, we have howm many working rigs, Jeff, 200 and net improvement in our rig margins of a little over $400 per day, excluding the impact of the early termination payments. During the second quarter, this unit was awarded 7 more new builds contracts increasing the total of new builds to 144, 36 of which were set to be deployed on long-term contracts are yet to be deployed, and we expect 13 of these by the end of this year and the rest next year, and we obviously hope, based on current inquiry activities, that this total will increase. In addition to the new builds, we've had 9 SCR rigs undergoing a major refurbishment and upgrades for deployment prior to the end of next year, and we have 22 more that matched the current market conditions, which is essentially 1,500 horsepower and make economic sense to deploy. Meanwhile, we continue to see customer interest, increasing interest in contracting additional rigs, both new builds and major refurbishments. The outlook for drilling activity remains strong and the pricing is gradually improving. Nabors Canada. We posted a loss in typical last quarter, substantially down for the first quarter as is also typically the case, but that isn't we had expected, frankly. The outlook for this unit continues to improve. Although the third quarter resumption of activities was delayed somewhat by July's wet weather, we still expect it to be strong with further improvements in the fourth quarter. Longer term, these units prospects are even stronger than we had previously envisioned, as many large projects are emerging that will result a fairly substantial number of new builds. We are expanding our Pressure Pumping business to this market, and with the discussions that are going on and the demand we see, it's entirely possible we have a couple of incremental spreads in this market by the end of the year.  Well-servicing posted good results, $16.5 million, up $5 million-plus over the preceding quarter. This was attributable to an increase in both rig and trucking hours and was achieved despite some weather disruptions in both the Bakken and Marcellus Shales. The unit continues to roll out new capacity including almost 2 dozen new 400-plus power Millennium rigs for the California market. They're also expanding the capacity of our fluid management sector, which looks pretty good. This is dramatically enhanced by the synergies with our Pressure Pumping business. To date, we have deployed 900 of the 1,000 new frac tanks we ordered and approximately a little over 100, 105 of the more than 150 trucks and tankers we ordered in 2010. Most of these have been deployed on long-term contracts, and obviously, we'll continue -- we are continuing to order this type of equipment as long as long-term contracts are available. International results of $36 million was basically flat for the first quarter. We continue to receive new contracts of those -- most of these [indiscernible] rigs require modifications upgrades and delay. Anyway, the income is not as robust as we had expected and we hope it will become. In our Saudi Arabian operations, we had scheduled startup a substantial number of rigs, which will probably bring to over 30 the number of rigs operating in Saudi by the first quarter of 2012. We are the major player there. Operations in Iraq continue to be challenged. We have logistical challenges. We're undertaking steps to overcome a shortage of equipment, skilled labor and numerous obstacles in getting equipment in the field and on to a specific field. In some cases, we have to wait actually for landmines to be cleared just before work commences. Anyway, bottom line is our second rig is now in the country and we expect to have 5 rigs operating by year end and more than twice that number in 2012 and Ziggy has been there. I suspect he has a girlfriend. He's been there a lot and its starting to play out. Finally, we have eliminated any expectation of resumption measurable activity in Yemen for the rest of the year and in fact, all ex-pats have been pulled out of the country. As a result of all this, we expect the third quarter to be essentially flat in the second quarter. And ramp-up in Saudi, Iraq and other areas along with essentially 2 rigs in Papua New Guinea and high platform rigs going into India, high-value platform rigs going into India. I would see and expect a meaningful improvement of the results towards the end of this year, building up to a pretty seriously stronger 2012. Pressure Pumping. This is going to be a very valuable acquisition in addition to our operations even though the results of around $44 million were flat quarter-to-quarter. Equipment delivery hit delays also de facto investment in hiring the personnel to run this equipment hits the P&L, no problem with hitting P&L expense and concept is really out of an investment. Anyway, the biggest single factor was getting the hands on board and trained, unfortunately hitting the P&L before they actually went to work and produced profit. The first of 9 incremental spreads of the equipment arrive at [indiscernible] mid-May and we expect equipment deliveries to be back on pace before the end of the third quarter. We are currently operating 17 frac spreads at which pay their own long-term contracts. We expect to have 23 spreads operating by the end of the first quarter of next year, and I think our long-term objective is get up to roughly Euro Zone term contracts. U.S. Offshore unit posted a loss of $1.1 million in the second quarter. This is continued delays in activity in the Gulf. Basically, the way I look at it is if we're operating as we should be, without the anomalous shutdowns that we have seen and continuously, we should do about $40 million a year. So if we get back to full operations in 2 quarters, we'll do 20 for the year. If it's 3 quarters, we'll do 10 for the year. It takes 3 quarters. I don't know when it will happen. I don't know who else does it. But we have to have other things cooking, 2 trials better as it increases, the activity increases albeit we don't know how much. And we have the operation of a couple big rigs that we're building. Nabors Alaska. Operating income was better than we expected $8.3 million in a seasonally low second quarter, but down from $11 million this unit posted in the seasonally high first quarter. Expectations are for a modest increase this year, but there are a number of prospects emerging that should provide significant improvement in 2012 and beyond. Other operating segment is the aggregate of the entities in this unit posted a $13 million profit and $13 million, $14 million profit in the quarter, up from $7.5 million in the first quarter. This is primarily due from strong contributions from Canrig following first quarter supply chain issues. This more than offset our customary seasonal dip in our Alaska joint ventures, and that results in our [indiscernible] operations. During the quarter, we agreed to purchase our patents interest in Peak Oilfield Services, our Alaska rig moving and construction business making it a wholly owned subsidiary. We expect this transition to close at the end of this week and we are evaluating opportunities to expand this business both in Alaska and the Lower 48. The outlook for this unit is strong driven by Canrig's solid backlog on capital equipment and increasing contributions from rentals as well as continued growth from rocket and some high potential related technologies. Oil and Gas. This unit had an operating income of $5 million in the quarter, but more important, the way we run the business since we don't distinguish between operating income and profit. So as I said earlier, we had sold $250 million of Colombian assets or will have sold with essentially a little more than 50% -- well, around 50% of that being profit, I think around $130 million profit. In summary, let me say that while we're at this point where there are slower-than-expected recovery in our earnings in our international results, we are encouraged by emerging opportunities in this International operations and other units impact. Exit rate was superior, which with results would be, I think, further enhanced by new equipment deliveries and a continued strength in that market. Our North American businesses are improving with the exception of Alaska where we expect that by year end to have projects in hand that will significantly enhance the 2012 and beyond outlook. Meantime, we continue to look at acquisitions and divestitures that would enhance and streamline our business and, hopefully, make it more profitable. It's difficult to predict the pace of recovery but we expect by year end, every single unit will be doing better in showing more clearly its potential. I think we're ready for questions.
Dennis Smith: Patricia, we'll go ahead and open it up for questions and answers now.
Operator: [ Operator Instructions] And our first question comes from the line of Jim Rollyson with Raymond James & Associates.
James Rollyson - Raymond James & Associates, Inc.: Kind of a bigger picture question, Gene. Some of your peers that have reported so far this quarter talked about the sustainability or at least what they see as a sustainability of what's going on in North American operations today and obviously, the kind of recovering improving picture on the International front. And from a capital expenditure perspective kind of what we seem to be hearing so far is that a lot of guys are expecting 2012 CapEx to be similar or even greater in levels than 2011 rates. Kind of what do you see for Nabors in terms of opportunities and potential for CapEx as you head from this year to the next?
Eugene Isenberg: I think it's pretty similar. I think I've been in the business a long time and I never had a shortage of capital for good projects. If the opportunities that are driving those business, and as I said earlier, they look pretty good.
James Rollyson - Raymond James & Associates, Inc.: Okay. On the U.S. Lower 48 Land Rig business, you continue to layer in new contracts, which you've done for several quarters. I don't know if this is for your or for Joe, but how many rigs do you think you could deliver in the year at this point if demand were there?
Joseph Hudson: By the end of the year, we're looking at an increase of probably 20-plus rigs by the end of calendar year 2011 and the usual program right now is about 2 rigs a month average. We're looking into [indiscernible]. We continue to identify, and Gene mentioned, existing assets [indiscernible] some of the technologies that [indiscernible] -- but the market demand, we're going to continue to push forward to meet.
James Rollyson - Raymond James & Associates, Inc.: Okay. And then just on a little color maybe on pricing or margins or however you want to look at it, are we still seeing kind of new build opportunities leading edge day rates trending up? Or are they kind of holding steady or kind of where do you see this?
Joseph Hudson: I see them to continue to improve certain areas are better than others, depending on the market but there is some delta between the 2. They continue to be strong.
James Rollyson - Raymond James & Associates, Inc.: And how about on the reactivation or upgraded rig side or where are margin levels for those today, and where do you see those going?
Joseph Hudson: Depending where it's at again, whether it's in the northern areas or the south. The northern areas tend to have a higher demand because of limited capacity up there, which we feel like we've got a strong market position in the northern areas, specifically the Bakken. The southern areas, we've also been able to take some of the refurbs, in which we put a fairly large capital [indiscernible] got good rates to payback what we put into it.
Eugene Isenberg: You can make it almost [indiscernible] attractive to the customer.
Operator: And our next question comes from the line of Scott Gruber with Sanford Bernstein.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Staying on the new build question, the expansion we saw in the U.S. has really been dominated by you and your 2 large peers. I'm seeing a little bit of a build by yourself on spec. Is there an appetite to be a bit more aggressive on the new build front to try to capture share in the U.S. in 2012 and beyond, given the clear advantage within the horizontal drilling market?
Eugene Isenberg: Yes, we have. I don't think there's any point in describing our total strategy, but we are building a few. If we have prospective contracts for x rigs, we'll probably right now build before we have the contracts signed for some percentage of those and we continue to do that, and the details we'll announce as soon as all our competitors do.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Got it. So it sounds like you're staying a little bit ahead of the contract demand?
Eugene Isenberg: Yes, sir. It puts you ahead of the contracts being signed, [indiscernible] we're building into.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Got it. And then on the margin outlook, a nice bump up in 2Q. How sustainable do you think this trend is? What should we be expecting for margin expansion in 3Q and 4Q? It seems like we should still expect several $100 a day gives them the big wage increase at the beginning of the year is behind us. You have a nice tailwind as contracts roll. Is that fair?
Eugene Isenberg: Yes, I think so. I think I prefer you don't expect a big increase and then we produce [indiscernible]. Basically, it's not going to go down.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Should we be expecting something in the order of $300 to $400 a day in 3Q?
Eugene Isenberg: I actually expect a little less and that we produce $300.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Okay, it's fair enough.
Eugene Isenberg: It's phased a little bit by contract rollovers. There's a big backlog of contracts at hand, so there's a limit to how fast it can move.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Right. Could you give us a little bit of sense of how the contracts are rolling in 3Q and 4Q?
Eugene Isenberg: There's actually a slide on the website that has that.
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Okay, I'll check that out. Last question, on California, you have a big position there on the Well-servicing side of the business. Obviously, Oxy actually has a big opportunity in the Monterey. How are you viewing that opportunity? You obviously have the established relationship with Oxy operating basis in the market. Is that going to be a strategic focus for you like you're going to be looking at moving rigs and pumps and fluid handling equipment into the market?
Eugene Isenberg: We'll be able to cope with whatever we can get and you're right we do have a good relationship in Oxy. I don't know how that's playing out so far. Do you,Joe?
Joseph Hudson: [indiscernible] multiple areas included.
Unknown Executive: Yes, we have -- I mean, on the Well-servicing side, we continue to move rigs in there for us and we'll have [indiscernible] work comes on and working and anticipate, participating certainly on the upside.
Eugene Isenberg: We do have 20 new well-service rigs going into California in the next [indiscernible].
Scott Gruber - Sanford C. Bernstein & Co., Inc.: Great. But, Gene, overall do you think you can capture more than your fair share of the drilling activity growth and either acid treatments and stimulation work in that basin, given your relationship and position?
Eugene Isenberg: Yes, I think so. The relationship is a function of performance and quality of rigs and so far, we're okay.
Operator: And our next question comes from Geoff Kieburtz with Weeden & Co.
Geoff Kieburtz - Weeden & Co., LP: Couple of questions. You mentioned early termination in the Lower 48. Obviously, it hasn't hurt you in terms of recontracting the rigs, but is there any story behind the early termination?
Eugene Isenberg: No, nothing. Pardon me? Joe said he wrote good contracts.
Geoff Kieburtz - Weeden & Co., LP: I guess it's just a little bit surprising somebody is giving up a rig in this environment. But also...
Eugene Isenberg: It was a gas-related project.
Geoff Kieburtz - Weeden & Co., LP: And you were talking about the SCR upgrade. Can you give us some idea of how long it takes and about how much it costs to take these rigs and refurbish them to your competitive status?
Eugene Isenberg: Joseph?
Joseph Hudson: Yes, it's taking about anywhere from 60 to 90 days to bring the rigs in, go completely [indiscernible]. So we're taking these rigs out [indiscernible] some of these we receive up to 2 years terms, some less. But we're getting good return on investment we're providing a good piece of equipment to meet a market that is requiring rigs now.
Geoff Kieburtz - Weeden & Co., LP: And how much are you spending to do that?
Joseph Hudson: I'm sorry?
Geoff Kieburtz - Weeden & Co., LP: About how much are spending to do that?
Joseph Hudson: The largest refurbs -- now basically the addition of [indiscernible] all of which is [indiscernible] but we're spending $5 million to $8 million on the larger refurbs. We have mobilized some recently that do not require that level of upgrade [indiscernible].
Geoff Kieburtz - Weeden & Co., LP: Okay. And are you doing that entirely on signed contracts? Or are you doing some of that kind of ahead of contracts being signed?
Joseph Hudson: Doing both.
Geoff Kieburtz - Weeden & Co., LP: Both?
Joseph Hudson: We have some signed terms like I said up to 2 years, some 1 plus. So were building to meet market demand, we think as [indiscernible] market is increasingly [indiscernible],
Geoff Kieburtz - Weeden & Co., LP: Okay. And if I could should swift Sweezey. Can you give us any more color on the delays that you incurred during the quarter? Was it getting the equipment into your yard? Or was -- because, Gene, you mentioned something about, not sure if you're talking about having difficulty getting people or the expense of having the people without the equipment, but can you give us a little more color as to...
Eugene Isenberg: Latter was certainly true and the former is why we got the people as soon as we could.
Geoff Kieburtz - Weeden & Co., LP: Okay, I guess...
Unknown Executive: Most of it was on the equipment side, we stamped up and Europe ahead of time make sure we got everyone trained prior to. And equipment delays were the biggest parts. In June, we started seeing some nice influx of equipment starting with third quarter.
Geoff Kieburtz - Weeden & Co., LP: I guess where I'm really headed is what underlies your confidence that the delay that you've encountered is roughly a quarter that it's not going to continue to stretch out as we go over the next 3 or 4 quarters? Why is it just a onetime deal?
Unknown Executive: We saw a nice surge of equipment come in June. And again, despite the major components and then received by the builders and looks like again, the third quarter should be up. Everything looks like it was pretty well on track, start getting the majority of the equipment at this point.
Geoff Kieburtz - Weeden & Co., LP: Okay. And lastly, can you tell me what percentage of Sweezey's capacity is on a 24/7 operation?
Unknown Executive: Of 17 crews roughly 50% at this point operates 24/7 operation.
Geoff Kieburtz - Weeden & Co., LP: Sorry there was one other question. The decision to expand into Canada, does that signal that you think that there's a better return on investment opportunity in Canada? It seems with tight equipment, you would concentrate on only the highest return potential. Is Canada better return market in your view?
Eugene Isenberg: I think your statement was correct, and I think we're just looking down the road. Sooner or later, we'd be attractive in Canada, as attractive.
Geoff Kieburtz - Weeden & Co., LP: Okay, all right, so open up the operation but not necessarily pour a bunch of capital into it immediately?
Eugene Isenberg: We're not diverting capital from the -- currently attractive U.S. market.
Operator: And our next question is from Kevin Simpson with Miller Tabak.
Kevin Simpson - Miller Tabak + Co., LLC: So I have several questions. I guess, first for Dave, on pumping on Sweezey, was there a catch up in June? It sounds like June was very good. Was there like catch up from what you didn't do in April and May? Or is what sounds like a good June result something we can extrapolate for EBIT kind of to grow off of for 3Q and 4Q?
David Wallace: Yes, the rest of June was just, again, a new crew coming on May. And so again, there was a little bit of seasonality that carried over May to June in the Bakken, but the rest of them is really just the addition of the new equipment.
Kevin Simpson - Miller Tabak + Co., LLC: So it's something that you ought to be able to build off for your results for the second half of the year?
David Wallace: That's correct.
Kevin Simpson - Miller Tabak + Co., LLC: Yes, great. And Joe, I just had a question about the kind of -- your conversations of customers about next year. It just looks like this cycle is stretching out to kind of unusual visibility because maybe because of the high returns or maybe because they have to plan a lot more than they normally, that they used to for wells. But kind of on a scale of 1 to 10, how good is your visibility for further expansion in '12 compared to what you're used to in your career?
Joseph Hudson: My career that's 30 to 35. [indiscernible] But anyway, visibility is 7 to 8. I'll be very honest, unless the economy, whatever occurred in U.S. economy which we have no control of is going 7 to 8 out of [ph] 10, correct.
Kevin Simpson - Miller Tabak + Co., LLC: You're still being conservative, not 10 out of 10 then, huh?
Joseph Hudson: I'm not going to say 10 because that's a perfect world. And then, with those 30 years we've said it's not a perfect world. But Kevin, there are so many opportunities flowing through with major operators who are also acquiring companies that have to -- they've got to spend the money and draw the well. So we think there's a lot of opportunities that we haven't seen. First quarter, we had a little bit of a, I would say, 2 to 3 work weeks, I don't know how to explain it. We've seen a pretty dramatic improvement in terms of sustainability for the next 12 to 18 months. What we're seeing just from either bids or just customer interface with our marketing personnel.
Eugene Isenberg: Yes, some of the deals recently have been your spend on drilling to acquire an interest, and the guy who sold it has no interest other than let the other guy spend the money as quick as he can, so that's been a factor in these markets lately.
Kevin Simpson - Miller Tabak + Co., LLC: Okay. And I wanted to swing overseas. I assume Ziggy is there, obviously, these delays have been a disappointment to the marketplace. But exit Iraq which sounds like it's tough to predict. I would ask the same kind of visibility question. You might kind of off the back of the envelope is potential bubble of the EBIT overseas next year, and I just wondered if that would be the kind of forecast that you'd hang your head on in front of, Gene?
Unknown Executive: Kevin, I'm very careful of what I'm going to say about the next year but what I can tell is we see increased -- a visible and high demand in all the key markets that we have, Algeria, Saudi, Mexico, all the core markets that operate, we see increasing activity. So I think by early next year, first quarter, second quarter, we pretty much reach very high utilization. And so from that point, I'm very optimistic that we'll have a good 2012.
Kevin Simpson - Miller Tabak + Co., LLC: Okay. Are you in a position basically where you feel like you can expand over and above what you already have in a number of your existing markets or do you need the opportunities to move into any new markets next year?
Unknown Executive: I mean, we'll always go into new markets, Kevin, but it's got to be really a crucial good outlook for us. I mean, we're in so many countries already. So we're looking at every country that has good opportunities and we take it if it's worthwhile. But priorities are definitely on the core markets.
Kevin Simpson - Miller Tabak + Co., LLC: Okay, and then, one last one, Gene, you got a fair amount of short-term debt and the revolvers are really attractively priced. But it's some kind of terming out of some of this debt likely over the next couple of quarters?
Eugene Isenberg: I'd say highly probable by -- over the next couple or 3 quarters.
Kevin Simpson - Miller Tabak + Co., LLC: And so...
Eugene Isenberg: We've pulled down the revolver, hopefully, reducing it. I haven't checked recently as what the expectation was, but last time I looked, it would probably be $500 million, $600 million, $700 million, we'd like to convert away from the revolver to permanent.
Kevin Simpson - Miller Tabak + Co., LLC: And so I guess the only -- the follow-up to that is with the stock still below where I know that you think it should be. Can we assume that whatever...
Eugene Isenberg: No stock.
Kevin Simpson - Miller Tabak + Co., LLC: Very probable being straight debt and having no equity component with it?
Eugene Isenberg: Yes.
Operator: And our next question comes from the line of Arun Jayaram with Credit Suisse.
Arun Jayaram - Crédit Suisse AG: Gene, I just wondered if you could help us understand exactly what's going on in Saudi. You mentioned that you expect the rig count to go from 21 to 30 but I did read in the press release approximately 20 rigs are down. So just trying to reconcile what's going on in terms of the rig count there, and the follow-up would be what is the potential impact to operating income once all of the rigs are up and running?
Unknown Executive: I guess in Saudi, it started a couple of months back that Aramco went out the tender. And based on the message we got is that they go from the plus 90 rigs that they just started working and then they're going to back to a much higher number, probably in the 120s. So we have been awarded a few rigs and we're preparing those rigs and we've been running -- after the last count and we're running 23, 24 rigs average in a year, and we're going to go back to plus 30 rigs per year. So net debt I guess, and the rigs -- majority of the rigs working gas, some rigs in oil and there's quite a bit of activity on the offshore side as well.
Arun Jayaram - Crédit Suisse AG: Okay. But Ziggy, you mentioned in the press release that 20 rigs are kind of down for recertification up and modification. I guess my question is once those -- what are the timing of those rigs returning to full day rate? I'm just trying to understand what the potential operating income?
Eugene Isenberg: They're not all down concurrently, I mean, through the whole course of the year. It includes the 4 jackups, it includes the rigs that are being gas conversions. So the upgrade...
Unknown Executive: To get the rigs back to work, with the change that Aramco makes every time they renew a contract, we have to assume anytime between 4 and 6 months and we're in the middle of doing that right now.
Arun Jayaram - Crédit Suisse AG: Okay, fair enough. And just on the jackup side, I know you're working on renewals on 3 jackups. Where are you in terms of the renewal process? And what is the timing of those jackups getting back on the payroll?
Unknown Executive: We have 2 jackups in the shipyard right now and probably as Gene explained and they keep coming on a little later and we anticipate it, but they are on new contracts. They're going to go on a 3-year contract and the third one is going in the shipyard here next month and then going back into a new contract that is Saudi Aramco , and the fourth one is in contract until late next year. So all jackups with the exception of a small joint venture that is being done for a long time when you go back to work at lower rates, of course.
Arun Jayaram - Crédit Suisse AG: Okay. The second question, guys, I think you believe you increased your Pressure Pumping capacity for Sweezey by about 109,000 horsepower yet you're still citing 23 spreads. Are you just increasing the amount of horsepower per spread or just walk me through that?
Eugene Isenberg: That's correct. The average is like 42,000.
David Wallace: We were roughly 12 to 13 spreads at the end of last year or the end of third quarter last year. So we've added some spreads on shipments of horsepower around for some of the higher horsepower areas  that were moderate plus the addition that we're talking about, which I think is [indiscernible].
Eugene Isenberg: So what is it like 35,000, 40,000?
Unknown Executive: Correct.
Arun Jayaram - Crédit Suisse AG: Okay. And my last question is, I just wondered if you could educate a little bit on the Canadian Pressure Pumping market, the seasonality there and what kind of impact to operating income could we see by adding 2 spreads into that market next year?
Unknown Executive: The seasonal time period again is second quarter. Their strong operating time is third quarter through first quarter and our goal is to have equipment up there and the fourth quarter take advantage of that and take advantage of fourth quarter, first quarter busy seasons. And again, we're looking at second quarter accounts how to position ourselves to get through the soft time period. But it's our first intro into that market and again, we feel like the margins are extremely strong in that area with the increased oil horizontal play going on. We’ve got an experienced group come together up there. So I feel like we're going to be pretty well positioned in the market.
Eugene Isenberg: In the Canadian side, super competitive up here now.
Operator: And our next question comes from the line of Robin Shoemaker with Citigroup.
Robin Shoemaker - Citigroup Inc: I wanted to ask about further Oil and Gas properties. So have you sold all the properties in Colombia that you intend to sell?
Eugene Isenberg: We've sold or will have sold, and the numbers we quoted reflect what we will have. I think there's some stuff that we're not currently going to sell. We feel that if we spend a few more dollars on it, we can get those spent dollars plus some extra back. And I don't know what the exact status of that is, but the bulk of them are in the numbers we quoted.
Robin Shoemaker - Citigroup Inc: Okay. And is the status of the NFR potential IPO the same as you've described previously awaiting...
Eugene Isenberg: Acceptable gas price, yes.
Robin Shoemaker - Citigroup Inc: Right, okay. Just switching to Latin America for a minute. We see a lot of activity in Mexico tenders for platform rigs, jackups, et cetera, and I guess some potential for land rigs if they pursue the Eagle Ford play in Northern Mexico. Is that a market that you see a growth potential for Nabors?
Eugene Isenberg: I'd say yes, but it's going to be sooner or later. And so far, it's been later. Anything to add, Ziggy?
Robin Shoemaker - Citigroup Inc: Okay. And just one final question, when you talk about the blend of term and spot contacts in Pressure Pumping, it is accurate I think that the term margins are a little below spot, and some of the larger Pressure Pumping companies believe that contracts really don't stand up to difficult market conditions that the E&P company kind of walks away. So is your view that you should have a kind of 50-50 blend of spot and term? And how do you view contracts and sustainability in the downturn? How are they?
Eugene Isenberg: I guarantee you that they're sustainable because what you just said both these contracts needs to stay about rig contracts. When we do a rig contract, we build it up to 100% of our contract obligations and we will expect the other party to do exactly the same. And again, what you said about these contracts, they used to say about rig contracts which they don't say anymore. And we want more term contracts. What exactly the target is, is kind of irrelevant. All I can tell you is right now we welcome more.
Operator: And our next question comes from the line of Jeff Tillery with Tudor, Pickering, Holt.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: In the schedule out yesterday, just showing the term contracts for U.S. 48, there was a pretty big increase outgoing 4 or 5 quarters in the number of term contracts. Did anything changed with regards to your strategy contracting there or just wanted some color on the big increase in the number of term contracts?
Eugene Isenberg: That's the impacted in new deliveries and some of the refurbs that Joe’s doing when they get delivered.
Joseph Hudson: We've also -- with the term contracts, we're walking into some very good rates for some good length terms plus you see there's a fairly good rollover on those contracts. So it's not as if we may show a large number of these contracts rolling over to be able to affect the spot market up. But we feel stability of the term contract allows us to put better product in the field dealing with the personnel, same with rigs, stability, et cetera. So we also we have some rigs and few rigs, I won't mention specifically that we're giving some tremendous rates on. We've locked in for terms, and for us it was a strategy to improve that market position, understanding, signing them to a point that the rollovers give us the opportunity to hit the spot market. But in the unlikely event the thing unraveled, as Gene mentioned, we have contracts to support the offer.
Eugene Isenberg: Basically, it turns out that we're leaving a lot of money on the table by signing these contracts that put on prices I'm happy with, I'll be delighted.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: As you think about the working rig count for you guys the rest of the year, is it fair to think about for each of the third and fourth quarters on average being 10 rigs more working for Nabors, so 194 going up 10 and then up another 10 for the fourth quarter?
Eugene Isenberg: That's about the last forecast I said.
Joseph Hudson: Yes.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: And then just kind of a mundane question on Pressure Pumping. Could you give us an update just where you are today from a frac horsepower standpoint and then where you intend to be in the third quarter, just so we have some guidepost to measure your delivering new equipment?
Joseph Hudson: At the end of the second quarter, we were about 600,000 horsepower and we have about 90,000 in June. So it was very back-end loaded. At the end of the third quarter, we expect to be a little over 700,000 to 750,000 at the time period. And as Gene mentioned in the comments, we'll be over 800,000 by the first quarter.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: And should I think about your ability to turn the horsepower into revenue is basically a quarter delayed so...
Eugene Isenberg: I think that's right, yes.
Joseph Hudson: That's right. That's what we've seen so far this year is about a quarter behind.
Operator: And our next question comes from the line of Brian Uhlmer would GHS.
Brian Uhlmer - Global Hunter Securities, LLC: Two very quick questions. First off, I just want to focus on Well-servicing and the fact that our revenue was hardly up on a per-hour basis and what you can prescribe that to? And as we bring on the 200 new Millennium Rigs, if we expect that number to go up with new pricing for kind of the higher-end equipment?
Eugene Isenberg: Yes, I think we said 200 I think it's 20. Yes, we'll see some improvement. I think as early as -- I mean costs have gone up, kept up with those increases and we put in increases that will hit in August. So we will see some improvement.
Brian Uhlmer - Global Hunter Securities, LLC: Okay, so pricing was relatively flat from 1Q to 2Q? That wasn't a factor of weather. That was just you didn't get opportunity to push up pricing until just recently?
Eugene Isenberg: That's correct. We should have, but didn't.
Brian Uhlmer - Global Hunter Securities, LLC: Second off, when we talk about increasing horsepower per job, should we look at revenues per crudes increase? Or is that requirement due to excessive maintenance that you actually have to have more redundancy in your crews to handle the maintenance and the downtime associated with each crew or the jobs going harder such that we should increase our revenue per crew projections as we add this new equipment to 2012?
David Wallace: It varies a little by basin. Again some of the oilier basins and they may use a little less horsepower, a little more chemistry, more cross-linked gels. So it kind varies on our mix. With the oil prices better now than the gas prices, we're seeing a trend more towards the oily areas which can actually be a little higher revenue per horsepower. Probably another trend we're seeing is again [indiscernible] tried to fine-tune their economics. So they may drop their quantity of sand or modify the jobs just to try to keep their economics. But with the oil mix being a little heavier, price per horsepower is probably a little bit higher.
Brian Uhlmer - Global Hunter Securities, LLC: Okay. And following up just one real quick one. What's the targeted aggregate number to use for your maintenance on your Pressure Pumping side? How much is out of services at any given time for maintenance? And has that trended down since over the past year of operations?
David Wallace: It's probably about 15% down at any time period. Again, with the new capacity coming on, it’s going to be more reliable. It's going to help to offset some of the older equipment that we have. And again, a lot of the crews do have extra backup on location, which helped offset any shift with 3 [indiscernible]. But if you look at 15% down, probably an extra 20% as backup on location.
Operator: Our last question comes from the line of John Daniel with Simmons & Company.
John Daniel - Simmons & Company International: Thanks for squeezing me in. Just one question. You commented, Gene, about the process of looking at acquisitions, divestitures. Can you say if there's one that you're placing more emphasis on at this point?
Eugene Isenberg: No, I wouldn't say that. Nothing on the super [indiscernible], but we're always opportunistically looking aggressively.
Operator: And ladies and gentlemen, that was our last question. Management, please continue with any closing remarks.
Eugene Isenberg: Well, thanks everybody for joining us. That pretty much lines us up for today. And if you've got any questions that didn't get answered, just give feel free to give us a call. We'll be here the rest of the day and tomorrow. And thanks for tuning in, and look forward to reporting to you again.
Operator: Thank you, ladies and gentlemen. This concludes the Nabors Industries' Second Quarter 2011 Earnings Conference Call. This conference will be available for replay after 12:00 p.m. Eastern Standard Time today through August 4, 2011, at midnight Eastern Standard Time. You may access the replay at anytime by dialing the toll free number of 1 (877) 870-5176 and international participants may dial 1 (858) 384-5517 and entering the access code of 445-1031. Thank you for your participation. You may now disconnect.